Operator: Ladies and gentlemen, thank you for standing by. At this time, I would like to welcome everyone to the Rush Enterprises, Inc. reports Third Quarter 2025 Earnings Results. [Operator Instructions] I would now like to turn the conference over to Rusty Rush, President, CEO and Chairman of the Board. You may begin.
W. Rush: Good morning, and welcome to our third quarter 2025 earnings release call. With me this morning are Jason Wilder, Chief Operating Officer; Steve Keller, Chief Financial Officer; Jay Hazelwood, Vice President and Controller; and Michael Goldstone, Senior Vice President, General Counsel and Corporate Secretary.
Unknown Executive: Certain statements we will make today are considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Because these statements include risks and uncertainties, our actual results may differ materially from those expressed or implied by such forward-looking statements. Important factors that could cause actual results to differ materially from those expressed or implied by such forward-looking statements include, but are not limited to, those discussed in our annual report on Form 10-K for the year ended December 31, 2024, and in our other filings with the Securities and Exchange Commission.
W. Rush: As indicated in our news release, we achieved third quarter revenues of $1.9 billion and net income of $66.7 million or $0.83 per diluted share. I am pleased to announce that our Board of Directors approved a $0.19 per share cash dividend. The commercial vehicle industry continued to face challenging operating conditions in the third quarter of 2025. Freight rates remain depressed and overcapacity continues to weigh on the market. In addition, while the industry gained some clarity regarding the tariffs that will be imposed on certain commercial vehicles and parts beginning November 1, economic uncertainty and regulatory ambiguity remains, especially with respect to engine emissions regulations. These factors are impacting our customers' vehicle replacement decisions. Despite these headwinds, I am proud of the financial performance our team delivered in the third quarter. Our employees' commitment to operational discipline and customer service was evident in our ability to maintain strong aftermarket results and manage expenses effectively. And I'm deeply grateful for their dedication. Our aftermarket operations accounted for approximately 63% of our total gross profit in the third quarter, with parts, service and collision center revenues reaching $642.7 million, an increase of 1.5% compared to the third quarter of 2024, and our absorption ratio was 129.3%. In the third quarter, our aftermarket products and service businesses remained resilient despite ongoing market challenges. Our strategic focus on technician recruiting and retention, expanding our aftermarket sales force and identifying new customer segments helped to offset weak demand. Looking ahead, we anticipate continued challenges in our aftermarket business due to seasonal trends and broader industry headwinds, but we remain confident that our diversified customer base and operational discipline will allow us to successfully navigate the remainder of the year. With respect to truck sales, we sold 3,120 new Class 8 trucks in the U.S. during the third quarter, accounting for 5.8% of the total U.S. market. While this represents 11% year-over-year decrease, we outperformed the market primarily due to stable demand from our vocational customers, underscoring the strength of our diversified customer base. Looking forward, economic and regulatory uncertainty continues to dampen customer demand, particularly with respect to new Class 8 trucks. We believe that the weak demand the industry is currently experiencing will negatively impact new Class 8 truck sales for at least the next 2 quarters. That said, if stricter emission laws become effective as planned and if capacity continues to exit the market due to bankruptcies, retail sales being below replacement levels, and continued enforcement of government policies regarding English language proficiency and non-domiciled drivers, Class 8 truck sales may be strong in the second half of 2026. In the medium-duty market, we delivered 2,979 Class 4 through 7 medium-duty commercial vehicles in the U.S. in the third quarter, representing an 8.3% year-over-year decrease and a 5.6% market share. We also sold 448 Class 5 through 7 commercial vehicles in Canada, which represents 10.7% of the new Canadian -- of the Canadian Class 5 through 7 commercial vehicle market. Despite ongoing industry headwinds, our medium-duty results in the third quarter outpaced the broader market. Our performance was bolstered by a significant increase in bus sales following our acquisition of an IC Bus franchise in Canada, which further diversified our customer base. Looking ahead, we expect medium-duty commercial vehicle sales to remain stable through the remainder of the year. We sold 1,814 used commercial vehicles in the third quarter, essentially flat compared to the same period in 2024. While financing remains a challenge for used truck buyers, we believe our inventory is rightsized and that our used truck sales strategy is on track. Unlike the new truck market, the used truck market is less exposed to tariff concerns and regulatory uncertainty, which may provide customers more confidence and incentive to consider used trucks as part of their fleet mix in the near term. We expect fourth quarter used truck sales to be in line with the third quarter. Rush Truck Leasing achieved record revenues of $93.3 million in the third quarter, up 4.7% year-over-year. Our full-service leasing revenue increased as we brought new vehicles into service, which also helped lower operating costs and increased profitability. Rental utilization was lower year-over-year, but improved sequentially, and we are confident our leasing and rental performance will be solid for the remainder of the year. On the capital allocation front, we remain focused on returning value to shareholders during the third quarter. We repurchased $9.2 million of our common stock as part of our expanded $200 million repurchase authorization, and we also paid a cash dividend of $14.8 million in the quarter. In summary, despite the aforementioned industry headwinds, I believe we've delivered solid results, and I'm proud of our team's performance in the third quarter. Our employees across the U.S. and Canada continue to demonstrate resilience, and I'm deeply grateful for their dedication. With that, I'll take your questions.
Operator: [Operator Instructions] And our first question comes from Andrew Obin from Bank of America.
Andrew Obin: I'm sure the team works very hard. Just a question, could you just tell us, we've been stuck in this cyclical malaise for a while now. We've been waiting for the turn of the cycle for a while now. Can you just expand and tell us what are you seeing? When do you feel things actually bottom? And what's the path going forward? What gets this thing sort of on court and just lets the sales actually go up eventually?
W. Rush: Right. And I'm guessing, Andrew, that you're speaking about from my customers' perspective. Is that correct?
Andrew Obin: Yes, correct. Yes.
W. Rush: Okay. Well, great. Well, I just so happened, I spent the last couple of days in lovely San Diego, California at ATA, which is the largest truck convention -- our customer truck convention there is. So I met with quite a few customers while I was out there. And I think as I mentioned in one of the paragraphs there in the press release, and I mentioned a little bit earlier, this is the first time I'm going to say, I mean, we've been 3 years in a freight recession, 3, okay? This usually doesn't last, but 12 to 16 months, I have never seen in my career, it go so long, right? And you could figure out why supply was not coming out, right? There's supply and then there's demand. I can't really speak to demand as well. That's more of an economic-driven, the only economy-driven stuff around tariffs and just around the economy itself. But from a supply side, the crazy thing is it just has not come out of the market. It always comes out faster. And I think if you look at it after rates were way up in '21, '22 and they started coming down. That's been that 3-year row, just depressed freight rates from the customer perspective, especially on the truckload side, not so much on the LTL side, but on the truckload side for sure. And I think the government has finally got their arms around some of this when -- I mean, one of the things I learned while I was there is you read a lot and people are saying this is non-domiciled driver thing and the English-speaking proficiency, but really around the non-domiciled driver thing. Most some of the numbers I've heard before, well, if we can enforce that, it's going to be up to the states to enforce that, okay? And I've heard numbers of 5% or something. Well, I was there. Some of the carriers I talked to said that was way understated. And like 15 to 20 of the states are really starting to enforce it right now and that they all have to get on board. And so over the next little bit, it could take out up to 15% of the drivers, which are probably some of the smaller carriers have been using to hang on and stay. Those are the carriers that usually go out in a freight recession first, not your more well-capitalized bigger guys, but the smaller carriers are always that variable piece that get in and get out based upon where rates are. And so that's one of the things that I believe will, for sure, help. Also, I think we -- people continue to buy trucks after we came off of allocation, we should have not slowed down selling trucks or producing trucks quicker than we did because there's 2 sides to it, right? That's the attrition side. Well, the other side is what are you producing, right? Well, right now, the last -- the back half of this year, I mean, you're talking we're going to be down in production 30%, 35%, 40% at all the OEMs combined. I'm not sure exactly where it is, but it's down dramatically. And I think that's going to continue into the first quarter for sure, maybe the first half. If you add that, you think about that, so you're shutting down the supply side, the intake side, you're taking people out of the attrition side. Well, you should start to get a more rightsized or balanced fleet out there with what market demand is, right, or what freight tonnage is. And I think you can see that if you look out. Now on top of that, even though the carriers, and I'm on their side, would prefer that it's changing the law that's going into effect right now. The current law, the way it stands is 35 -- don't give me, it's changing to 35 particulates on the NOx side. It's 200 currently, okay? But the new law says 35. I'm with the carriers. They would prefer a pause on 35 and they -- but I'm not in the middle of that, but you see folks and customers that are putting pressure on the EPA to pause that law. Right now, I can't tell you where it goes. But if it stays as is and goes into effect, I do believe it will change -- if it stays as is, you will see change in the warranties will come down because a lot of the cost for that is going to be more. But it's still going to add more cost where tariffs have added more cost to an industry that's been in a 3-year recession. But people are asking for, like I said, carriers are asking to say 200, and I support them on that. I don't know. But currently, if you look at the law, it said it's going to go to 35. Well, that's going to add more cost also by the end of next year. So you tie that in with tariff costs, which are happening for sure, starting Saturday with the new tariffs, I mean, the tariffs already all year, but with the new 232 rule and how that affects everything, you're going to put -- the EPA thing will only increase cost on trucks at the end of next year. So you add that with a better rightsized fleet, for the environment. That's why I wrote you can see a much stronger back half of next year. Now I would prefer that we also have freight tonnage growth with that. So it's not just regulatory driven. I think if we can get some freight growth, which I hope we get some certainty. I mean uncertainty for everybody has been the craziest thing trying to run a business all year, okay? But we get some certainty around whatever it is, add that in, like I said, take it supply out. And even if it stays that 35% will help truck sales, but I'd like for my customer to be more healthy. And I think getting the right-sized fleet is the most important thing with a pickup in freight tonnage. And that's why you see some optimism. I'm more optimistic now for that -- the big over-the-road market. Look, that's still 2/3 of the market that's out there, all right? Vocational is awesome. And we do more in vocational than 1/3 of our business, but that's still the largest segment, and it has been obviously headwinds for everyone, my customers more than me for the last 3 years. So I know that's a long-winded answer, but you're used to my long-winded answers, I'm hoping. And that's sort of the way I see it right now. I have a little more optimism than I have had after coming back from San Diego, that's not happening right now, okay? Remember, we had 5 months, 6 months of the lowest order intake since 2009. I'm the tail of the dog. So we are going to feel it in Q4 and Q1 without question. At the same time, it feels good to really believe that you can see real drivers to get back and get the market rightsized long as the economy stays in good shape. That's sort of the way I see it.
Andrew Obin: And just a follow-up question. I ask it on every call, but what's your read on the macro, just general macro outside of the stuff that feeds into your customer base? Is it getting better? Is it getting worse? What are you excited about? What are you worried about?
W. Rush: No. I'm not an economist, Andrew. What I worry about? I worry about unemployment, which for sure would affect consumer demand. That bothers me. I worry about -- I don't feel that we have seen the full effect of tariffs, no way. We had a prebuy prior to August, but we're draining those -- as we drain those inventories down, we've got to restock. I have seen many large companies, manufacturers, customers across all segments that have eaten a lot of those costs. I don't see them eating those costs forever, which ends up being pushed down to the consumer at the end of the day. Those are the 2 things that bother me more than anything. I'm hoping we can get around all that. But I do -- an inflationary -- a little more inflationary environment if tariffs get pushed through because everybody knows that people prebought prior to August, but we're draining those. So -- and you put that in, we get some more unemployment. You read some of the stuff you see. I see a little anecdotes out there myself that have me a little nervous, a little bit concerned. I can't say this is going to -- this is a number or this is what's going to happen. But I do have some concerns as I look at -- just look around myself and try to pay attention to what's going on, right? Like I said, I'm not an economist. I'm just looking at it from my street level, but I do have quite a bit of touch and feel with a lot of different companies and things out there. So besides all the big stuff you read about when you read about UPS and these big companies that are laying off right now, Amazon by laying all these people off. There you go. That's what I'm worried about.
Andrew Obin: And I'll -- just feeding into that, I'll just take advance and ask one last question. How is your parts and service business trending on a daily basis into the year-end? Is it getting better? Is it getting worse because that's also a good indication and also obviously has quite a bit of torque to your financials.
W. Rush: Yes. Well, it was flat to slightly up for the third quarter, but September was softer than I would have liked. Remember, we naturally or yes, we naturally have seasonality. And I've always told folks if I could get rid of sometimes November, December, January and February, I might keep the holidays for the kids. But other than that, from a business perspective, if I could sometimes we're in the south, -- it can help a lot of our stores in the South, the majority of them are. So that's a little harder, a little softer. You have fewer working days. We typically tick down 3% or so, 3% to 4% from Q3 and Q4 and Q1. It will start picking back up, hopefully by late February, March. It softened a little quicker in September. I'm waiting to get October finished tomorrow night. I'm hoping that we can try to get pretty close to flat with last year. I'll be really close, I think. But it's still to be -- how about TBD, to be determined. There are certain things I look at that show month-over month, we got the same amount of backlog in our work in process in the parts and service. But I do -- I'm hoping it's just like normal seasonality, and we have a slight downtick and less -- we have 1 less working day, which is quite a bit of gross profit as big as our parts and service operations are and it's the holidays, factories shut down between Christmas and New Year, but you deal with that every year. So I'm hoping we stay in the range of what we typically do. I was a little disappointed with September. Typically, we'll start in October. But we'll see here by the end of the working -- the month by midnight tomorrow night on Halloween because they'll be closing tickets and doing what they do every month, getting it all in. So we'll see, but I expect it to be fairly close to flat with last year's number, which if we're there, given the environment, I'll be okay with it. I'll be okay with that.
Operator: Our next question comes from Brady Lierz from Stephens.
Brady Lierz: I wanted to start kind of just with the outlook for the remainder of '25 and the first half of '26. You've mentioned a couple of times on the call that you expect a challenging end to '25 and for that to persist into 1Q. But can you expand just a little on that? I mean what are your customers telling you as to why they're not placing orders? Is it just uncertainty around regulation? Or is it uncertainty around tariffs? Or is it both? And if we got more certainty around those items, could we see a meaningful improvement -- and then maybe just kind of related, your vocational customers seem more resilient. So are there some company-specific opportunities you have to help offset this weakness and outperform the market?
W. Rush: Well, from a delivery perspective, we slightly outperformed the Class 8 dip. I think [indiscernible] market was up more than that, I think, in Q3. But around -- I'll go to your first part, Q4, first Q1, maybe partially into Q2, I can't tell. Look, remember, like I said earlier, we're the tail of the dog. And when you look at the order intake from April, May, June, July, August, September, it's like September, it was 20,000 units. We have months that was 7,400 units. This is North America, 11,000. Those were the worst order intake months since 2009. I know that every manufacturer has taken more down days over the last -- since July. Everybody built as much as they could in the first half of the year. There is not one manufacturer, not one that hasn't taken many down days and weeks, okay, so far in this quarter, okay? So we're building less trucks. I guess it's less to sell because there's been less demand. And you can circle lead. That's all of the above. When you see you hit it, it's really 3 things. It's their business. It's everybody's business, but the uncertainty, tariffs that make freight go up and down and cost of trucks go up and down. And then you add in, can we get an answer on emissions next year because everyone I spoke to, if their business can get a little bit -- a little -- which we're not -- I'm not saying they're getting it now because you got to take care of those supply issues that I rambled on and talked about earlier when I talk about the amount of trucks on the road, has to get in line with freight. If you can get that back in line, bring some certainty, here's what the emissions regulations are, whatever they are. And if they stay as they are currently under the law, I don't think there's any question in spite of the large freight customers, they'll probably try to pull a little bit forward, not have huge prebuys, but they will try to shift some stuff maybe they do in Q1 or '27 or Q2 and try to shift some of those purchases into the back half of the year. If it stays as it's written right now and doesn't get -- there's not a pause and they get a little relief, which I said before, for their sake, it might hurt my truck sales in the back half. But for their sake, I just assume they get it -- get that relief. But it's what you said. But really, they need to get aligned -- really, we've got to get the supply aligned with tonnage, and to where they can get a little contract rates. I mean if you look at the TL side, I mean, if they got 2%, they were lucky this last year because they were going down, down, down 10%, 15-plus percent the prior couple of years. Well the cost of trucks and everything operationally and inflation went up, up and up, they have nots, you've seen the ORs and some of these things, and they're not what they historically have been on that side. Now LTL still fared better. Of course, 2 years ago, they got a little tailwind with the demise of yellow and stuff. So when the third largest carrier goes out. And there's many fewer barriers to entry or there's excuse me, more barriers to entry in LTL with all the doors and terminals and all the stuff that's required in that space. So they've weathered it better than the TL side. But I just got to tell you, the next couple of quarters is going to be tough. You can tell by the order intake that's been there. And it wasn't like everybody was ordering trucks handover fish. Some people -- it was -- we weren't even -- it's difficult to give a price on a trucks deal. But remember, the tariffs, the definition of it just came out 1.5 weeks ago, okay? And these manufacturers are just pouring through it, trying to make sure they clearly understand it, okay? Because it gets pretty complicated as to where -- how these tariffs are figured out from where you build and what are your suppliers because people use different suppliers and where that comes from, et cetera. I would tell you that we'll probably have a whole lot more clarity as to how things are going to pick up in the next 30 to 45 days. There wasn't a lot of clarity at ATA because people -- it was good for some manufacturers and bad for others. And they're trying to sort it out with the Rule 232 is what I'm talking about, but that just came out, whatever, 10, 12 days ago, 10, 11 days ago, and folks are just pouring through it, making sure that they understand it right. So I mean I'll be honest, you couldn't price a lot of people right now. And when you can't do that from a manufacturer, that somebody is supposed to buy something. It's been crazy all year because you would price like you would give quotes that were only good for 90 days, right, or maybe 120 based upon the ever-changing environment around tariffs. Well, that's difficult. You've got all these question marks. If this happens, this will, if not, it's no good. I mean this is the world we've been living in for the last 6-plus months, which has made it extremely difficult. So as all I can tell you is clarity, clarity, clarity and less uncertainty and continue taking supply out and hopefully get a little bump in freight early on in tonnage here. I don't see it right now. But I would hope as we get into the first part of next year, we do see something by the time we get out of Q1, into Q2, something there while you're taking supply out over here, while you're building less trucks, so your intake is less. So you should naturally be squeezing down the supply of trucks. I mean that's all I can -- the best way I can describe it, which for me, the hard part was while we were in a freight recession, we just kept building and selling trucks longer than we probably should have. But now we're on that rightsizing piece, along with the government activities around drivers that are going on the things I mentioned earlier. So anyway, I have some optimism. It's just not over the next 6 months. Okay.
Brady Lierz: That's very helpful color. And if I could just follow up on medium-duty. Medium-duty has continued to kind of be a stable growth driver for your business. Can you talk about what you're seeing in medium-duty into the end of the year? And just maybe any preliminary thoughts on medium-duty in 2026?
W. Rush: Medium-duty is a different environment, right, a different market by far than the Class 8 world. I would tell you, we expect it to be fairly flat in Q4 with Q3 on the medium side. Most of the downturn will be -- for us will be on the Class 8 side, for sure. Like I've mentioned, there's no question we're going to deliver fewer trucks and things because you can see order intake, that kind of tells you what you're going to eventually come to regardless of what our share percentage might be, there's going to be a lot less deliveries in this country because we haven't taken many orders in for the last 6 months. I would tell you there's a lot of leasing around the medium-duty, okay? And also what we call our Ready-to-Roll inventory. It's just -- it's more about the general economy and what's going on around there. Housing has a lot to do with. There's a lot -- the leasing companies. I would tell you, we're working some stuff that had me somewhat hopeful for the entire year next year. But it too will probably suffer some, maybe not to the degree, right? It will be more stable, I believe, than the Class 8 business will for the next couple of quarters. But at the same time, I don't know that we can comp -- I don't believe we'll comp to the same that we did this year, but it won't have as big a hit, say, as the heavy-duty side will right now. So that's about all I can tell you about it. It's pretty much hand-to-hand combat out there still right now, right? If you want a truck, I still build a queue this year. All good news tell me, there's lots of slots open for everyone, for all manufacturers. So that's -- it's going to be November 1, and we shut down, most manufacturers shut down in the last 10 days of the month of December. So -- and they're still not full by any stretch in their backlogs, and that's why they keep taking shutdown days. I'm talking about all manufacturers. Some will probably do better than others, but I'm not going to get into all that right now. But -- all I can tell you is that medium-duty should weather better from a downturn perspective given the diversity of its -- of the markets it serves because it serves so much the general economy. But it's not totally -- it will get â€“ it will suffer some for sure, though.
Brady Lierz: That's super helpful. Maybe just a final quick follow-up. Could you share what you're seeing in the used truck market, particularly how is used truck pricing trending just given this, like you said, volatile backdrop to say the least?
W. Rush: Well, I think it's been fairly stable. And when I say that, normal depreciation, unlike, say, a year ago, if you asked me that, I would have told you no, depreciations for 2 years for sure, we're double depreciating. I would tell you now depreciation is more in line with what you typically would see from a percentage perspective. So that's good. And our used trucks, while it's always more difficult winter time with used, but we've done a really nice job. I'm proud of the job we've done on the used side all year long, managing our inventories and staying and doing whatever we have to do to support our customer base. Because remember, one thing about used is you have -- you've got -- you take trades, right? So you have to have the flexibility and the ability to take trades. We've managed -- we've taken our inventory up a little on purpose during this last couple of quarters to try to move more, not to -- we've taken it way down, okay? I think we've probably split the middle on where our inventory is currently from where I used to carry it to where we do now because you got to turn your used inventory. And our turns are -- they're maybe not as tight as they were at one time, but our production overall, you got to have inventory to do that for sure. As always, when you think about, as I mentioned in my comments to open, used trucks, they don't have to worry about tariffs or emissions, do they, okay? So there is somewhat of an advantage to that -- there's not -- there's certainty around used trucks. So they're not worried about tariffs or, as I said, emissions. when you're buying a unit. So that's a plus. So we've had a really nice year, and we expect it to be solid going forward. I mean the problem is just -- the volumes just can't make up for when heavy-duty pops down. But remember, we -- the thing about the company, and I think sometimes people lose sight of is we have many revenue streams. Remember, I got a great leasing fleet. We're super profitable in our leasing operations. We're profitable on our parts and services. You can tell all the time. Everybody is focused always on truck sales, and they are a big piece of what we do. But at the same time, they're not the most -- parts and service is the one stable piece that you -- when I say it -- it does not have the volatility of the Class 8 truck sales market. So fortunately, we have all those revenue streams that help us weather the storm, but we top it up, knock it out of the park when you're not -- you need to have all pieces contributing. But the good part is, unlike some other businesses where they're tied to just 1 or 2 revenue streams, we have many more, which allow us to get through environments like we're seeing right now and continue to put out the kind of results we do. Are they the best results we've ever had, of course, not. But we're not going to sell as many trucks, but they're going to be solid and they're going to be good. And forgive the environment, a whole lot better than my customer base has had to put up with. I feel sorry sometimes what they've had to go through the last 3 years. A lot of them have anyway, especially like I said, on the truckload side and some of the others. So anyway, I know it's probably more you want to hear about, but that's just how I it. But now we're good where we're at on used and hope to continue to have solid quarters there.
Operator: Our next question comes from Avi Jaroslawicz from UBS.
Avinatan Jaroslawicz: So I know parts and service business is a pretty big focus area for you guys in trying to grow that. Can you just remind us what you're doing to pick up more share in that part of the business? And is that more challenging to pick up more share in a softer market like that, like what we're seeing now? And also, where are you still seeing opportunity within that space?
W. Rush: Well, it is more challenging without question, right, because the overall market is down. I would tell you we're holding our own this year. I don't know that we've picked up as much as we would like to because when you get in this type of environment, it becomes much more highly competitive and especially with the inflation stuff we've seen in the parts arena this year, it becomes more competitive, to be quite honest. Some folks are just looking to turn cash, right? And sometimes margin sometimes takes a backseat. So you have to balance what you're doing between taking share and margin and results at the same time. And so that becomes a challenge in this type of environment when it's not a growing sector, we've remained fairly flat all year, right? I would tell you we're in line, maybe a little bit better than the overall from a dealer -- break it into independents and dealers. And I would tell you from a dealer perspective versus other dealers, I think we're in pretty good shape. The independents, they can get down and dirty when it comes in this type of environment. But our overall deal is this. And over time, I don't want to look at it just every quarter. I'd rather look at it annualized and over a couple of 3 years. If the market goes up, just make a simple math, 5%, we want to go up 6%, okay? Why that means we're taking share. We have historically been able to do that and then throw a little M&A in there and do better than that some years, right? But -- so I'm not going to say we've done that this year, but I think we've taken some maybe not as much as I would like. We want to be 20% better, right? Because to be 20% better, if you're taking a little bit more, you're just slowly ramping up your share. It's not an add water and stir arena. And as far as what we do, like our technology and our data is second to none, okay? So it's continuing to take that. And without getting into each and every project that we have out there, we always have projects going on to help enhance it that support growth, right? They're not just -- we don't go about it the same way every year like what we go about our business, but we keep enhancing and adding technology and stuff to make it easier and easier for our customers to do business with us. And that's the key piece from our perspective as we look at going forward. Our industry is -- it's not like consumer, right? It tends to operate a little behind the time well, which can be challenging because you have to keep pace with your customers, right? And when I say that, I don't want to downgrade our industry, but it's typically still a little more hands-on than, say, some other consumer type things and how you go about it. But technology continues to be a bigger piece of it. And I don't like to get into some of the things we do just because I consider them proprietary. I think those investments and also our investments in folks and people, our growth in the mobile service area, those types of things, we have goals that are pretty well stated out there. I think most a lot of investors understand that because we expound on them quite a bit when we go to conferences. I have 3 up here coming up in the next month. to let people know those types of investments, where we want to grow our mobile service fleet to x and then we want to take our total technicians, and we want to grow our outside service -- excuse me, our outside parts and service, what we call ASRs, take those guys more -- grow that part of our business, too. But sometimes you got to be careful because in a market that's getting really tight, you need to have a market out there, but we still think there's a lot of runway, and we will continue to do it and have the goals we have around, like I said, to try to do about 20% better from a growth perspective. If market goes up 5%, we want to go up 6% because it's not somewhere you're going to go from 5% to 15%. If market is 5%, we're not going to take 15%, I mean if I'm giving stuff away or doing this and doing that. And that would not be -- I don't believe that's the right way to go about it.
Operator: That concludes the question-and-answer session. I would like to turn the call back over to Rusty Rush, President, CEO and Chairman of the Board, for closing remarks.
W. Rush: Well, everyone, this is the longest gap between earnings calls. We won't be talking to everybody until February. So in the meantime, I wish everyone a happy holidays and safe holidays, and we'll talk to you in February. God bless you all. Thank you.
Operator: This concludes today's conference call. You may now disconnect.